Operator: Good day, and thank you for standing by. Welcome to the Universal Electronics First Quarter 2024 Financial Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to our first speaker for today, Kirsten Chapman with LHA Investor Relations, a division of Alliance Advisors. Please go ahead. 
Kirsten Chapman: Thank you, Crystal, and thank you all for joining us for the Universal Electronics 2024 First Quarter Financial Results Conference Call. By now, you should have received a copy of the press release. If you have not, please contact LHA at 415-433-3777 or visit the Investor Relations section of the website. This call is being broadcast live over the Internet. A webcast replay of the call, including any additional updated material non-public information that might be discussed during this call will be available on the company's website at www.uei.com for 1 year. During this call, management may make forward-looking statements regarding future events and future financial performance of the company and cautions you that these statements are just projections and actual results or events may differ materially from those projections. These statements include the company's ability to penetrate the connected home space and particularly the climate control and home automation markets through the development and delivery of unique and innovation -- innovative solutions as anticipated by management. The acceptance of UEI TIDE family products in the global HVAC markets; management's ability to continue to manage its business inventories and cash flows to achieve its net sales, margins and earnings through financial discipline and cost saving initiatives, operational efficiency, liquidity requirements, factory optimization strategy, R&D spend, product line and business management and other investment spending expectations, including our ability to execute on our stock repurchase programs. The company's successful licensing of the company's QuickSet technologies, the company's ability to maintain its leading market share in the traditional subscription broadcasting business and the direct and indirect impact the company may experience with respect to its business and financial results stemming from the continued economic uncertainty affecting consumers' confidence and spending, natural disaster, public health crises, governmental actions or political unrest, including war, terrorist activities or other hostilities. The company undertakes no obligation to revise or update these statements to reflect events or circumstances that may arise after today's date and refers you to the press release mentioned at the onset of this call and the documents the company filed with the SEC, including its 2023 annual report on Form 10-K and the periodic reports filed or furnished since then. In management's financial remarks, adjusted non-GAAP metrics will be referenced. Management provides adjusted non-GAAP metrics because it uses them for budget planning purposes and for making operational and financial decisions and believes that providing these non-GAAP financial measures to investors as a supplement to GAAP financial measures help investors evaluate UEI's core operating and financial performance and business trends consistent with how management evaluates such performance and trends. In addition, management believes these measures facilitate comparisons with the core operating and financial results and business trends of competitors and other companies. A full description and reconciliation of these adjusted non-GAAP measures versus GAAP are included in the company's press release issued today. On the call today are Chairman and Chief Executive Officer, Paul Arling, who will deliver an overview; and Chief Financial Officer, Bryan Hackworth, who will summarize the financials. Paul will then return to provide the closing remarks. It is now my pleasure to introduce Paul Arling. Please go ahead, sir. 
Paul D. Arling: Thank you for joining us today. We are building for a better future, shifting sales and product development resources to the connected home space, expanding our end market reach and implementing cost initiatives. These actions delivered Q1 2024 results as expected with strong year-over-year gross margin improvement. More importantly, our customer wins, our global footprint optimization and our expense reductions position us for a profitable year as well as position us for consistent sales and earnings growth into 2025, 2026 and beyond. The strengths we have built over the past decades, delivering true seamless interoperability, discovering, connecting and controlling all devices and all brands translate beautifully into the climate control and home automation channels. Our expertise in connectivity protocols from infrared to radio frequency to IP and our ability to make those devices work better together gives us a competitive advantage that continues to create unique and differentiated solutions. Our capability to design, engineer and build solutions for the leading brands in the world that are interoperable and self-configuring can help the next generation of products in the home automation and climate control markets become ever more integral to the smart home experience. We are confident in our success as our capabilities align well with the connected home market needs as evidenced by our new customer activity in this space. As always, the best testament to our success is the partners that choose to work with us on their product solutions. We have won new product designs with 6 of the top 10 HVAC OEM companies on the planet and are working on 2 more. Further, the market is growing and undergoing constructive change as climate control devices are getting smarter. For example, there is a transition underway, bringing more efficient product forms such as heat pumps into popularity. Our ability to quickly address these opportunities is reminiscent to the early innings of our success in the home entertainment market. I'd like to highlight a few of our activities that support our outlook. In climate control, at the Consumer Electronics Show in January, we unveiled new UEI TIDE family offerings, including products that bridge to indoor Air Quality sensors, built-in air purifier control, and additional accessories that broaden our control utility. We also took the show on the road and demonstrated our full suite of innovative climate control solutions to our growing list of HVAC OEM customers in Japan, including Daikin, Toshiba-Carrier, Fujitsu, LG and Panasonic. In March, we exhibited at one of the premier events for the HVAC industry in Europe. Our TIDE family was once again extremely well received, generating strong interest from the leading brands in Europe. In fact, in a few short years, we have engaged 13 of the top 14 HVAC OEM brands in Europe that collectively represent over 80% of that market. Already, we have secured 3 active design wins with 2 of the top 3 European HVAC OEMs. With the long lead times in the segment, which we have previously discussed, these products are expected to start shipping in 2025. In home automation, during Q1, we received our first standard TIDE Dial and TIDE Touch thermostat orders from a leading multi-dwelling unit integrator in North America. We expect to begin product deliveries later this year. Additionally, TIDE Dial is currently in consumer trials with a European utility provider. We expect to complete a successful trial and to begin shipping product to them in Q4. In home entertainment and consumer electronics, although the market has changed greatly over the last couple of years, we continue to capture market share with new product introductions at small and large operators. In Q1, we began shipping our sustainable remote control to Liberty Global. We continue to add customers on our Android remote control line, including 2 telecom companies in EMEA. Both have products in development that are expected to ship in Q3 of this year. We continue to see traction on the Xumo platform across the charter footprint and the Xumo TV branded platforms as this program continues to scale in the market. Regarding licensing our proprietary technology, we recently added Hisense as a licensee of our [ Kuterix ] digital rights management provisioning services. These software services are currently used by Vizio, TCL and numerous other TV OEMs to ensure secure delivery of digital rights management keys for streaming content services on their smart TV platforms. Our QuickSet licensees in consumer electronics such as Samsung, LG and Sony, all announced their 2024 smart TV product lines and will continue to ship versions of our QuickSet cloud enabled software. Our latest version brings added value to our customers, giving them access to a better user experience, increased user engagement, and reduced onboarding and troubleshooting challenges. These long-term relationships, built upon years of working together with these world leading home entertainment companies, continued to be strengthened with these feature enhancements and give us further confidence in our success going forward. Now to the financials. Bryan, please go ahead. 
Bryan M. Hackworth: Thank you, Paul. First, I'll review the results for the first quarter of 2024 as compared to the first quarter of 2023. Net sales were $91.9 million within guidance. This compares to $108.4 million for the first quarter of 2023, reflecting cord-cutting in the video service channel and an environment where households, for a variety of reasons, are spending less on discretionary goods. Gross profit for the first quarter of 2024 was $27.2 million, or 29.6% of sales compared to 25.4% in the first quarter of 2023. For the past 2 years, our operations team has been focused on restructuring our manufacturing footprint and they have executed well exceeding expectations. These efforts have resulted in significant reduction of manufacturing overhead, the main driver of the improvement in our gross margin. Our factory optimization plan is nearing completion. We closed 2023 strong, completing the first 2 phases, commencing operations in our new Vietnam facility and closing our factory in southwestern China ahead of schedule. Our Vietnam factory continues to scale and meet or exceed our expectations. We are currently streamlining our operations in Monterrey, Mexico, including moving into a smaller, more efficient facility that will supply product for certain North American customers. We remain on target for its completion in the second quarter of 2024. As we evolve as a company, we will continue to assess our global footprint and identify ways to operate more efficiently. For the first quarter of 2024, operating expenses were $29.4 million compared to $31.2 million in the first quarter of 2023, reflecting the execution of our cost savings initiatives. SG&A expenses decreased to $21.8 million compared to $23.1 million in the prior year quarter. R&D expenses decreased to $7.6 million compared to $8.1 million in the prior year's quarter. Operating loss was $2.2 million compared to $3.6 million in the first quarter of 2023. Our first quarter 2023 effective tax rate was 20.6% compared to 19.9% for the first quarter of 2023. Net loss for the first quarter of 2024 was $2.5 million, or $0.19 per share, compared to $3.5 million or $0.28 in the first quarter of 2023. Next, I'll review our cash flow and balance sheet. At March 31, 2024, cash and cash equivalents were $26.9 million compared to $42.8 million at December 31, 2023. Cash flows used by operating activities were $2.8 million for the first quarter of 2024, which includes a $5 million security deposit relating to a legal matter. This compares to $2 million cash used by operating activities in the prior year quarter. With interest rates at an elevated level, we repatriated foreign earnings, enabling us to reduce our outstanding debt from $55 million at December 31, 2023 to $46 million at March 31, 2024. We also repurchased approximately 95,000 shares in the open market for $843,000. Now, turning to our guidance. For the second quarter of 2024, we expect sales to range from $90 million to $100 million compared to $107.4 million in the second quarter of 2023. We expect to range from a loss per share of $0.10 to break even compared to a loss of $0.06 per share in the second quarter of 2023. UEI continues to evolve as a company. While we remain committed to developing innovative solutions in the home entertainment space, in recent years, we've increased our focus in growth areas such as climate control and home automation. Paul mentioned several project wins in these channels, with launches scheduled throughout the latter half of 2024 and 2025. We believe these project wins in the connected home channel, coupled with a more efficient factory footprint, will yield bottom line growth and full year profitability. I would now like to turn the call back to Paul. 
Paul D. Arling: Thanks, Bryan. Our expansion into the connected home is broadening our markets served and expanding our customer base. Our unique and innovative solutions, supported by years of experience in bringing connected home configuration and control to major global brands, make our offerings attractive in these markets. As a result, our sales team and products are gaining traction as the leading brands are increasing their design awards with us. This process can take time, but as we experienced in home entertainment, one project leads to the next. And as we work more closely with these accounts and innovate to improve their product offering, they award more and more of their business to us. As noted, we have secured tangible wins that seek growth in the second half of 2024 and importantly into 2025, 2026 and beyond. We are very encouraged by numerous customer wins and are confident of many more to come based on our design wins and our customers' planned shipping schedules. We are also very encouraged by our customers' strong interest in our product roadmaps. The systems in our homes today, entertainment, climate control, health, safety, security and others are becoming increasingly interconnected. This brings great convenience, functionality and value to consumers worldwide. Our customers, both current and potential, are very aware and interested in this change. Given our substantial experience in helping make these systems interconnected and interoperable, we continue to see significant interest from world leading brands in the markets we serve. As such, we will continue to invest to support the evolution of wireless home control. With our mounting project wins, along with our cost initiatives and global footprint optimization, we expect to be profitable for 2024. We believe our best years are ahead of us and our employees around the world remain hard at work to make this a reality. As always, stay tuned. Operator, we can now open up the call for questions. 
Operator: [Operator Instructions] Our first question comes from the line of Greg Burns of Sidoti. 
Gregory Burns: I guess, could we just start with the 10% customers for the quarter? 
Paul D. Arling: Yes, we had 2 customers that exceeded the 10% threshold. First one is Daikin at 13.2%, and the second company was Charter Communications at 11.1%. 
Gregory Burns: Okay. Good to see, I guess, a cable customer popping back on there. So maybe that leads me to my second question. What are you seeing in the cable market? Are you seeing signs of stabilization, maybe improvements in order patterns there? What's the view on the -- or the kind of the near term results and the view on the cable market? 
Paul D. Arling: Yes. Our view is that there's obviously change. Platforms are either have or are changing to hybrid platforms, some of which are delivered to set-top box, some to the TV directly. And we are fully supporting our customers in these changes. As far as the future of the traditional method, we would, of course, not have, as part of our plan of growth, to have a huge return to the historical pattern of set-top boxes with remotes. We do think that is still there. It frankly can't shrink at the pace it has the last 4 years. So that is clearly just mathematically going to level out somewhat. But there's a change underway. They're powering new televisions with OSs. We're part of that, particularly the Xumo and others, and that will allow people to get these hybrid platforms, linear content, news, sports, et cetera, alongside all the apps they love. And all through that easy to use interface which we power through QuickSet cloud. So that's the change that's occurring. Home entertainment will be around for the foreseeable future, both here at UEI and generally with people. People aren't watching less television. It's just the way that it's being delivered is changing, and we're changing alongside that. So the Home Entertainment business is still good. You know, the licensing business has been okay. We saw a drop off last year due to sales of TVs, but that's temporal. TVs grow at a constant rate of single digits, so over time that will still be true. Home entertainment is going to be here for a while. It's a good base, it's a good foundation for our business. But the connected home segments are growing. They're growing fast. They're changing. And we have capabilities, as I said, in the prepared remarks, that are unmatched in that market to help these customers interconnect and make products interoperable directly with the OEMs, who we think will power the market into the long-term future. 
Operator: [Operator Instructions] Our next question comes from the line of Bill Dezellem of Tieton Capital Management. 
Bill Dezellem: Thank you. I have a couple of questions related to your comment that you will be profitable this year. Is that on an adjusted basis or on a GAAP basis? 
Bryan M. Hackworth: Adjusted. 
Bill Dezellem: And then how do you anticipate kind of that Q3 and Q4 unfolding? Would you anticipate that both of them would be profitable or that Q3 would essentially be breakeven and then Q4 would have a level of profitability that would override the losses in the first part of the year? 
Paul D. Arling: Yes, I'm not going to give guidance for Q3 and Q4 specifically. Basically, right now, our forecast for the full year is for us, on an adjusted basis, to be profitable. 
Bill Dezellem: And then I'm going to have a little bit more fun and try to continue this, if I may, Bryan. Relative to '25, do you anticipate that whatever the business level is in Q4 that, that will continue as a run rate into '25 that you then build off of? Or are you anticipating that there will be some seasonality that will lead to the Q4 being higher, and then you'll have a step back as you move into '25 and then build from there? 
Paul D. Arling: Well, I'll answer that generally. With all the projects we're winning, there's going to be -- there's a layering effect. And as they layer, I expect the sales to continue to grow. Now, if you're comparing Q4 to Q1, sometimes Q1 could have a drop off. But in general, I expect the sales to start to ramp. I mean, I know it's small, but sequentially you're seeing it go from just under $92 million in Q1, and we expect the midpoint to be $95 million. So that growth is mainly driven by the project wins that we have. So I expect that to continue, the projects will layer. And I think when you get into '25, I think we're going to be in good shape. I expect '25 to be a very good year. 
Operator: Our next question comes from the line of Benjamin Alexander of Alexander Capital Management. 
Benjamin Alexander: Paul and Bryan, wanted to ask you about the business that you've actually won. You've called out that number in the past as well as the potential opportunities that you're looking at, which is another number you called out on prior calls? 
Bryan M. Hackworth: Right. Yes, the one business exceeds $80 million. The potential, as we now call it, the sales tube rather than funnel, is in excess of a few hundred million. Now, again, everyone has to remember that when projects enter the system, they are not won until the end. Once they're won, we then develop them fully and then ship them. So the won projects are almost universally assured, the ones that are in qualification or quote are not yet. We win many of our quotes once they proceed to that level, but we don't win all of them. So the few hundred million will get converted into business, but not completely. In other words, some of those projects will be either considered by the customer and not moved forward on. That's typically what happens when they don't move forward. But there's a lot of business out there. This is a very large market. HVAC alone exceeds by almost 2x the size of the home entertainment control market. So it's a very large market and growing. And there is, as I said in the prepared remarks, constructive change taking place there. Technologies in both the units themselves and the control units is changing. The world on this topic -- heat pumps are becoming more popular. They're much more energy efficient, less fossil fuel, of course. And that change is underway. Governments are beginning to on and off put incentives in place for consumers to buy these and install these systems because again they use much less energy. So there's a change underway. This is the same thing that set our home entertainment market from analog to digital, from non-HD to HD, from non-DVR to DVR. There's a change underway and we're there to help them power it and make these systems smarter than ever. And that's why we're getting the traction we are with project wins and a lot of projects entering our sales process. So we're very confident, we're very excited about what's going to happen in not just the coming quarters, but the coming years. Because the lead time on these projects is unfortunately sometimes 1.5 years, 2 years. Some of them can even stretch more than 2 years once you've won them. But once you've won them, it provides a layer of sales that usually stays with you for a while. And by the way, it's not that different than home entertainment. These projects last 4 years. So we're confident that what we're doing, we've rightsized our manufacturing footprint in contemplation of this business change to more of these types of products, our overhead. We've taken our development money towards these product lines and we're winning projects. 
Operator: At this time that does conclude our question-and-answer session. I would now like to turn the call back over to the Chairman and CEO, Paul Arling. 
Paul D. Arling: Yes, I just want to thank everybody for joining us today and for your continued support of Universal Electronics. Hope to talk to you soon. Have a great day. 
Operator: This does conclude today's conference. You may now disconnect.